Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2010 Western Union Corporation Earnings Conference Call. My name is Chris, and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Mike Salop, Senior VP of Investor Relations. Please proceed.
Michael Salop: Thank you. And good afternoon, everyone. On today's call, we will have comments from Hikmet Ersek, our President and Chief Executive Officer; and Scott Scheirman, Executive Vice President and Chief Financial Officer. The slides that accompany this call and webcast can be found at westernunion.com, under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in a supplemental table with our press release. Since we previously discussed expected revenue and transaction trends on September 29 and held our Investor Day on September 30, we will keep our comments today fairly brief. As a reminder, today's call is being recorded, and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2009 Form 10-K, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to generally accepted accounting principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by Western Union officers on this call are the property of the Western Union Company and subject to copyright protection. Other than the replay, Western Union has not authorized and disclaims responsibility for any recording, replay or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek: Thank you, Mike, and welcome, everybody, on the call. As Mike mentioned, approximately a month ago at the Investors Day, we gave you a strategy and business update. Now I'm pleased to report at the close of third quarter by making steady progress with our business across the globe. Transaction and constant-currency revenue trends in our Consumer-to-Consumer business have now improved for four quarters in a row, with overall transaction growth increasing to 10% in the third quarter. Compared to the second quarter, the Americas and Asia-Pacific regions delivered improved trends, and the EMEASA region was steady. We took further steps to expand our retail footprint in Europe through a planned relationship with DHL and to advance our banking strategy in the U.S. by signing an agreement to offer money transfer services at KeyBank. In Global Business Payments, the billed payments revenue declined by fairly consistent with the second quarter. Customers delivered a solid $27 million in revenue and remains on track for double-digit revenue growth for the year. We are currently re-branding customers to Western business solutions. I believe Western Union's global brand strength and high awareness level as well as the company's agents and regulatory relationships should benefit our business-to-business category as we expand into new markets. In Bill Pay, we are piloting an enhanced walk-in payment service in the U.S. This new service provides repeat customers a simplified, formless process for urgent payments and it's being tested at select agent locations. We also received approvals for our bank license in Brazil, which will allow us to offer Bill Payment like we do it in Argentina, Panama and Peru, as well as intra-country money transfer and other services such as prepaid cards. These are, of course, in addition to our existing cross-boarder Consumer Money Transfer business. Now overall, the company generated strong margin improvement in the third quarter, led by the Consumer-to-Consumer business which delivered 30% margins. We continue to generate strong cash flow and return capital to shareholders as we repurchased almost $100 million of stock in the quarter and declared nearly $40 million in dividends. Including the latest dividend, which was paid in October, year-to-date, we have now returned over $630 million to shareholders through repurchase and dividends. Now based on the third quarter performance, current business trends and improved tax rate, we are pleased to be able to raise our full year 2010 earnings per share outlook again. Although the environment remains challenging, with high global unemployment, our diversified portfolio is delivering results. The momentum has been positive, and our increased confidence is also allowing us to make incremental investment in the business in the fourth quarter. Scott will give you more details on the third quarter financial results and our outlook in a few minutes. But before this, following our Investors Day presentation, I would like to provide a quick update on progress with our strategic initiatives. In Electronic Money Transfer, we continue to grow, westernunion.com transaction in the international markets once again increased over 60% in the quarter. Including the U.S., the global westernunion.com transaction growth was almost 20%. Account-based money transfer transaction, which includes both account to cash, cash to account with banks, grew more than 50% in the quarter. We now have 27 banks globally that have agreed to offer this service through Western Union. In mobile, we have enabled approximately 70,000 agent locations in 27 countries to provide cash to mobile service. Consumer can also send money transfers to mobile recipients from westernunion.com sites in six countries. We also expanded our relationship with the State Bank of India to allow account holders to receive money transfers in their bank accounts using their mobile phones beginning 2011. In Canada, we entered a strategic alliance with EnStream to allow Zoompass mobile wallet holders to send cross-border and domestic money transfer directly from their mobile phones. Electronic channels are still relatively small parts of our portfolio today, of only 2% of revenues. But we continue to grow fast and lay the groundwork for the future. In prepaid, we had over 650,000 cards-in-force at the end of the quarter, and we increased our retail distribution in the U.S. to over to over 9,000 locations. As we reported at our Investors Day, year-to-date through the end of September, over $240 million of principal has been loaded on the cards to approximately 1.1 million loads. We began a direct response television campaign in the U.S. for our prepaid cards in the quarter, and also signed an agreement with CCH, a leading provider of software for tax and accounting professionals. This agreement will allow customers to receive U.S. tax refunds on a Western Union MoneyWise Prepaid MasterCard beginning in 2011. We have also initiated plans for expanding prepaid into select international markets with several countries in the works for 2011. We believe the global opportunities for prepaid are large, and we are well positioned to offer this service in the appropriate markets. So this is a quick progress update on some of our key initiatives. As we discussed at our recent Investors Day, this organization highly focuses on four key strategic priorities: growing our Retail Money Transfer business; expanding Electronic Channels; developing our product portfolio with new services, such as prepaid cards and business-to-business solutions; and improving processes and productivity. Since I was named CEO, I have spent a large amount of my time evaluating the company's competitive position, global market opportunities, organizational capabilities and processes. I strongly believe we now have the right strategy in place and moving forward, our success will be highly dependent on execution. We are creating the proper alignment, processes, tools and incentives to drive results, and I believe it took some encouraging steps in this right direction in the third quarter. Now to give you a more detailed review of the financial results and the full year outlook, I would like to turn the call over to Scott.
Scott Scheirman: Thank you, Hikmet. Our third quarter revenue and transaction results were consistent with what we reported in our September 29 press release. We are pleased with the continued progress in Consumer-to-Consumer and Western Union business solutions, which was formerly Custom House. While U.S. Bill Payment remains challenging, the rate of decline in Bill Payment did moderate slightly. Overall for the quarter, we reported consolidated revenue growth of 1% or 3% on a constant-currency basis. Total Western Union transaction fee revenue represented 78% of company revenues and was flat from the prior year. Foreign exchange revenue represented 20% of total company revenue, and increased 11% in the quarter, benefiting from the acquisition of Custom House. Our Consumer-to-Consumer segment revenue increased 1% or 3% in constant currency. As Hikmet noted, each region contributed to this progress with steady to improving trends. Transaction growth in our C2C segment continued to accelerate with 10% year-over-year growth. Trends in the international C2C business were comparable to the second quarter. Revenue grew 2% in the third quarter or 4% constant currency on transaction growth of 7%. The company's C2C cross-border principal increased 4% in the quarter or 6% on a constant-currency basis. C2C principal per transaction decreased 4% year-over-year or declined 3% in constant-currency terms, generally in line with recent quarterly trends. Turning to our regions. Our C2C business in Europe, Middle East, Africa and South Asia region grew transactions consistent with the second quarter of 5%. Revenue declined 2%, and was again negatively impacted by currency translation. On a constant-currency basis, EMEASA revenue increased in the quarter. We continue to see good performance from large markets, such as the U.K., Germany and Russia, while the Gulf states remained challenged, with transaction declines consistent with the second quarter. India transactions and revenues increased 2%, and transactions continue to be impacted by the Gulf state softness. In the quarter, we also launched westernunion.com transaction site in Switzerland, agreement with certain banking partners in Romania, Turkey and Russia to offer account-based money transfer and introduced the Western Union loyalty card in Romania. Turning to the Americas region. Momentum continued with 13% transaction growth and 2% revenue increase in the quarter. U.S. domestic repositioning once again drove activity, led by the $0.00 to $50 principal band. Domestic money transfer delivering strong transaction growth of 35% in the quarter, revenue declined only 6%, and we continue to expect positive domestic revenue growth in the fourth quarter. Mexico transactions grew 2% as revenue declined 1%, and the U.S. Outbound business continue to perform well, with the Philippines and Jamaican corridors leading the revenue growth. The Asia-Pacific region delivered strong performance in the quarter, with growth of 15% in transactions and 12% in revenue. In China, transactions and revenue each grew 6%. We continue to see network expansion in corridor marketing as key drivers to growing share in this important country, and we'll be activating thousands of new locations with our new and existing bank partners over the next few years. The Philippines and Australia also contributed to the regions' growth in the quarter, with especially strong performance of our Intra business in the Philippines. With the overall C2C business, the spread between transaction and revenue growth in the quarter was seven percentage points, excluding the impact of currency, which had a negative two point impact. Consistent with the first half of 2010, the factors affecting the currency-adjusted spread included the domestic money transfer repositioning, international pricing and mix. Domestic money transfer contributed four points of the transactions and revenue spread as a result of both pricing and mix. As we begin to anniversary the domestic repositioning in the fourth quarter, we anticipate the C2C transaction revenue spread will narrow, although we believe the $5 price point will still be at an important growth driver going forward. Moving to the Global Business Payments segment. Revenue increased 5% or declined 7%, excluding business solutions, consistent with our expectations. While the U.S. business continued to be challenged, particularly by the mortgage market, Banco Brasil in South America had another solid quarter. The integration of the Bill Payment business under the direction of Stewart Stockdale in the Americas region continues, and our objective is to gain revenue and cost efficiencies over time. Western Union business solution revenues were strong at $27 million and remain on track for double-digit revenue growth this year. As a reminder, we acquired Custom House in September of 2009, so there was one month of revenue or $8 million in our third quarter results a year ago. Turning to our margins. Third quarter consolidated GAAP operating margin was 26%. Excluding restructuring charges, the consolidated operating margin was 27%. We recorded $14 million of restructuring expenses in the quarter related to our May 27 announcement. Approximately $5 million of the charges is including cost to services, and $9 million is in SG&A. These amounts are not included in our segment operating results. For purposes of year-over-year comparisons, the third quarter of 2009 included a $71 million expense accrual related to the settlement with Arizona and several other states. This simplified operational comparisons and excluded both the 2010 restructuring charge and the 2009 settlement accrual from my margin commentary. The operating margin, excluding restructuring charges, improved approximately 70 basis points from the third quarter of last year and 40 basis points compared to the second quarter of 2010. Compared to the third quarter of 2009, increased costs related to business solution investment spending and acquisition-related amortization were offset by lower marketing expenses and operating efficiencies. Third quarter earnings per share were $0.36 or $0.37, excluding restructuring expenses. On a constant-currency basis, EPS was $0.01 higher or $0.38, excluding restructuring. This compares to GAAP EPS of $0.26 in the third quarter of last year or $0.33 excluding the settlement accrual. Our C2C segment operating margin was 30%, an increase of 230 basis points over the same period last year. The margin increase was primarily due to lower marketing, operating efficiencies and currency. Segment margin increased 80 basis points compared to the second quarter of 2010. Global Business Payments operating margin of 15% included the Custom House intangible amortization expense and investment spending for future growth. Excluding Business solutions, segment margin of 23% was down from 26% in the third quarter last year, driven by lower U.S. Bill Payments revenue. Moving to our cash flow and balance sheet. Our financial position remains strong. In the quarter, we generated cash flow from operations of $384 million, while capital expenditures were $44 million. We repurchased 6 million shares in the quarter at an average price of $16.15 per share for a total of $98 million. Year-to-date, we have spent $514 million to repurchase 32 million shares or 5% of the total shares outstanding at an average price of $16.23. As of September 30, we had $486 million remaining under the current stock repurchase authorization. In the quarter, we also declared another $0.06 per share dividend, for which $39 million was paid on October 14. At quarter end, the company had total debt of $3.3 billion, and cash of $2 billion, of which approximately $900 million of cash was outside the United States. On a year-to-date basis, cash flow from operations was $710 million and includes the impact of the $250 million refundable tax deposit that we made with the IRS in the first quarter. Turning to our full year 2010 outlook. As Hikmet mentioned, we are increasing our earnings per share range for the year. Our C2C margins have been strong, our tax rate has improved, and we expect constant-currency revenues will be closer to the higher end of the previous range. The recent strengthening of the euro should aid GAAP revenues in the fourth quarter, although the impact on earnings will be lower due to our hedging programs. As a result of the hedges, the strengthening of the euro will likely have a negative impact on fourth quarter operating margin. We plan to invest in the business in the fourth quarter to aid future growth, including incremental marketing spending and other strategic investments. The additional marketing spend will include investments and loyalty programs and general holiday advertising and promotion. We expect our marketing percentage, which was slightly below 4% of revenue, for the first nine months of 2010 to be around 5% in the fourth quarter, although for the full year, we should still be at approximately 4%. We continue to expect our full year operating margin, excluding restructuring, to be between 26% and 26.5%. Including restructuring charges, we expect GAAP operating margins in the range of 24.5% to 25%. The full year tax rate, excluding restructuring charge, is projected to be between 22% and 23%. Year-to-date through September, our tax rate, excluding restructuring, was approximately 23%. We expect the fourth quarter rate to benefit from one-time adjustments and certain favorable resolutions. We do not expect these benefits to affect the 2011 tax rate. Including the impact of restructuring, the outlook for the GAAP tax rate for the year would be between 21.5% and 22.5%. Given all these factors, our updated outlook for full year 2010 is: GAAP revenue growth in the range of plus 1% to plus 2%; constant-currency revenue growth, one point higher than GAAP or plus 2% to plus 3%; GAAP EPS of $1.29 to $1.32, including $0.07 of restructuring charges, EPS of $1.36 to $1.39, excluding restructuring; and constant-currency EPS, $0.01 higher. We now expect GAAP cash flows from operating activities of $900 million to $1 billion, including the $250 million reduction in the first quarter refundable tax deposit. Capital expenditures are projected at 2% to 3% of revenue. We continue to expect the majority of the $80 million restructuring charges announced in May to occur in 2010, with approximately $10 million of related savings this year. In summary, we are pleased with the improving trends in our business. We have raised our EPS outlook, excluding restructuring, up from their previous outlook of $1.31 to $1.36 to our current outlook of $1.36 to $1.39. We will continue to balance margin enhancement with investments for future growth and believe we have the opportunities for both over the long term. That concludes our prepared comments for the quarter. I would now like to turn the call back to Mike.
Michael Salop: Thanks, Scott. We'll now move on to the Q&A. In order to maximize the number of people we can get on the call, we do ask that each person limit themselves to one question. Chris, we're ready for the first question.
Operator: [Operator Instructions] Our first question comes from the line of Bob Napoli of Piper Jaffray.
Robert Napoli - Piper Jaffray Companies: I'd just like to dig a little bit more into the expense improvement and the tax outlook for 2011. I mean, your expenses came in comfortably below what we were looking for. And you did say that marketing was a little bit lower. But where primarily did you come in better than I think what you had anticipated on the operating expense side? And how much of that is sustainable? And what is the tax rate for '11, the outlook?
Scott Scheirman: This is Scott. For the third quarter and even year-to-date, 2010, we've had marketing at closer about a little bit less than 4% of revenue. For the fourth quarter, we expect that to be closer to 5%. Although for the full year, it will be around 4% from that standpoint. We have particularly good experience with operating expense efficiency. Both from the restructuring, we did back in May, we'll realize about $10 million of savings this year on that, and then just continuing to leverage our fixed expenses. As far as 2011, it's probably a little bit too early to get into the details of that. We'll provide more details in February. But for sure, we're going to balance investment spending with our margin objectives. And we think as the market improves, as revenue reaccelerates, we've got a business that's set up for margin expansion. But we'll balance that with investing in the business as we move forward.
Robert Napoli - Piper Jaffray Companies: But just the tax rate is the tax rate from this year like a number we should think about longer term or should it define [ph]?
Scott Scheirman: Yes, I don't want to give any 2011 outlook at this time. But one thing I would emphasize about 2010, that a number of the benefits that we've had to the 2010 tax rate probably will not repeat themselves in 2011. One example I would give you, early in the year, we resolved some tax issues dating back from 2002 and 2004, favorably resolved those. Again, I don't anticipate those on a go-forward basis, so some of the items that we're benefiting with the tax rate in '10, I don't expect to continue into 2011.
Operator: Our next question comes from the line of James Friedman of Susquehanna.
James Friedman - Susquehanna Financial Group, LLLP: Our focus on APAC, I know at the Analyst Day, [indiscernible], if I'm saying her name properly, had spoken out quickly about your initiatives in APAC. The China numbers were kind of consistent with what we have thought, but the overall number was higher. You alluded to Philippines and Australia. How much more do you have to go to fill the bucket in Philippines and Australia? Could those regions potentially fuel growth in APAC going forward?
Hikmet Ersek: James, this is Hikmet. APAC has been, for us, always an opportunity market. If you look at our portfolio, only a small part of our portfolio is currently APAC. And we have strong growth rates in APAC. Also, the market in Philippines are doing well and also market like Australia is growing. But I believe there are also markets like Indonesia, Malaysia, Vietnam, where we have opportunities. And recently, as we announced last quarter, we opened in Japan also. That's also an opportunity. Also we are expanding our network there. In some markets, we have high brand awareness. In some markets, we are building the brand name, and it's a market that we are investing. The interesting thing on APAC is there's also not only an inbound opportunity like in the Philippines or China, but we also see intra-region within APAC: outbound and corridor building, inbound and outbound activities. And the other example is the Philippines' intra-money transfer market, I think, we are very well positioned there. In Australia, we have strong growth there. And we also see these opportunities to expanded in Indonesia, Malaysia, also in the intra market. So overall, I would say in APAC, given our 200 countries presence, also APAC, we have rich opportunities here.
Operator: Our next question comes from the line of Bryan Keane of Credit Suisse.
Bryan Keane - Crédit Suisse AG: Just on the Global Business Payments operating margin, that one came in a little bit below what we were expecting. Can you talk about what the outlook is there? And I know at the Analyst Day, you guys were talking about trying to do some quick fixes there. Maybe you can give us some color on how you guys plan to fix the operating margin.
Scott Scheirman: Yes, on that business, Bryan, one of our challenges, and if you exclude Custom House, is the revenues declining from the U.S. Bill Payment business. So one thing we've done is combine that business with the Americas under Stewart Stockdale's leadership. And our thinking there, strategic thinking there is to really to continue to try and drive new sales and new business. It take sometime to sell, it takes sometime for that business to convert, but we've got to push hard on the top line to get that top line going north and not south, if you will. But also equally important is looking at operating efficiencies or synergies and combining, if you will, those two organizations. So we create better leverage as we move forward. And I'll just say, broadly to just, Banco Brasil is doing well. It's a smaller piece of the business. But what's important for our business model in that area is product diversification, geographic diversification, and Custom House will play an element of that. Custom House is only in seven countries today, but broader, we have an opportunity to expand Custom House further not only deepen the penetration in the existing seven countries, but move to additional countries. So that will help that segment business broadly as we move forward, too.
Hikmet Ersek: Bryan, let me just say on the U.S. Bill Payment, my team is focused in their operational fix that's parts of the business. As Scott said, we do have some top line issues, but we are expanding the portfolio to get more revenues. But also on the parts of the business, we are really looking in the very deep side [ph] there and we are very focused on that, Bryan.
Bryan Keane - Crédit Suisse AG: And then my follow-up is, Scott, the raise in EPS, how much of that was the better operating margin versus lower tax rate?
Scott Scheirman: Bryan, are you referring to the third quarter or the full year?
Bryan Keane - Crédit Suisse AG: I guess for the full year, just to take up a guidance.
Scott Scheirman: Sure. It's a combination of several things. Let me walk you through those, Bryan. It's clearly, we've got revenue at the upper end of our constant currency, so we've got some revenue help that's pulling through the bottom line or EPS. So that's definitely a factor. And it's also the tax rate, the simple math on the tax rate if you do it, it's about $0.02. But then I'd say that's also offset by some investment spending we're making in the fourth quarter. So we're investing some more in the fourth quarter behind marketing and some other strategic initiatives. So there's investment there that we used to fund some growth things that will help us in the fourth quarter and 2011. So really the combination of revenue at the top and the constant currency outlook we've had, somewhat from the tax rate and then some offset from more investment spending in the fourth quarter.
Operator: Our next question comes from the line of Julio Quinteros of Goldman Sachs.
Julio Quinteros - Goldman Sachs Group Inc.: Scott, I just wanted to come back to the comment that you made about the $5 price point not likely to go away. At least, I didn't catch if that was a one or two quarter event. Can you just give us some clarity on what you mean by that? And is that necessary, I guess, to sustain the recent improvements in the Americas transaction volume growth? And for how long should we expect that price point to be in place?
Scott Scheirman: Right now, we see the domestic business as a growth business. We think one element of that is the $5 for $50 price point, but also it's broader with the repositioning that we've done with that with simplified pricing. We've got a good message there. And the $5 for $50 is bringing customers back to the company that we haven't seen and also some new customers in there. So we think we believe that's going to be part of our go-forward strategy, it's to offer that $5 for $50. We think that's important. I think what's equally important to think about is that for the quarter, we had 35% transaction growth, 35% transaction growth. Revenue was down only 6%. And the reason I say this is that it moderated from being down 20% in the fourth quarter about a year ago, so it's really moderating. By the fourth quarter, we expect positive revenue growth. And that's a business that carries 30% margins. So we feel like we've got a very good formula in that business to drive growth as we move forward.
Operator: Our next question comes from the line of Adam Frisch of Morgan Stanley.
Adam Frisch - Morgan Stanley: Hikmet, you're getting off to a really good start on the C2C performance here. Are you seeing anything in the market today which would give you any concerns about the growth and margin expansion continuing? And then the follow-up would be how dependent are your goals for C2C margin growth dependent on the economy?
Hikmet Ersek: Well, Adam, first of all, the beauty of our business being in 200 countries, right, we do see opportunities globally where we are present, but we do see also some challenges on the employment rate on the parts of the economy, parts of the world is still high. And Gulf states has still challenging [indiscernible], and parts of like Spain has still 20% unemployment rate. So the beauty of our business is that we have been in 200 countries, right. So we do like Russia, Germany, U.K., [indiscernible] but the U.S. business is doing well. Americas region had another solid quarter. So I would say that really we have the luxury of the portfolio to respond to the market challenges and the opportunities. I would say also we are working very well positioned once the economy really picks up, right? We've been here. We are very well positioned. We are here. We have our 450,000 locations. We have our brand. As I mentioned in the Investor Conference, we have our strong fundamentals to expand even to the other channels also, right, so.
Operator: Our next question comes from the line of Jason Kupferberg of UBS.
Jason Kupferberg - UBS Investment Bank: I just wanted to follow up on some of the margin commentary, obviously, everyone is thinking about where the '11 margins might fall out. And you guys have been pretty consistent in your commitment to expanding margins over time. And I know you can't give us any specifics yet in terms of guidance there. But can you help us understand at least the relative importance of some of the relevant factors that are going to impact margins next year? I'm thinking about all the variables like revenue growth and pricing, reinvestments in the business, maybe some initial restructuring savings. Just some qualitative commentary on kind of the relative importance of each of those factors as we start to think about conceptually where margins could shake out next year.
Scott Scheirman: Sure, Jason. Let me walk you through some factors to think about. Again, it's too early to get to your point, 2011 guidance or outlook. But if you start very macro, we do believe we've got a business model that can drive margin expansion as revenue accelerate. So probably one of the key things is the top line revenue for 2011 as we think about that. Clearly, we've done some things, productivity [ph] have been a little bit helpful. The May restructuring we announced will have about $30 million to $40 million of savings next year. We continue to move forward with our commission optimization initiatives and so forth. But again, we want to balance that with making the right investments in the business. And those investments would be strategically aligned to really drive the retail expansion, drive electronic expansion, rounding out our product portfolio with Prepaid and Business Solutions. So we'll continue to invest in the businesses as we move forward. But as a leadership team, we are committed to driving margin expansion. We'll balance that with investments. And probably the macro thing that will be the most helpful or could be a challenge, as Hikmet alluded to, is the global operating environment and what the top line revenue growth looks like as we move forward.
Operator: Our next question comes from the line of Kartik Mehta of Northcoast Research.
Unidentified Analyst: This is Grant [indiscernible] for Kartik, I realize you don't want to give guidance for 2011. But just directionally just to make sense, assuming the economy doesn't deteriorate in 2011 and you witness revenue growth, any reason to think the operating margin does not improve?
Scott Scheirman: Again, it's too early to get into 2011 in specifics. And we could play a lot of scenarios, and I don't want to go through a lot of scenarios here. But Clearly, the leadership team, if I can just emphasize, we're very focused on gaining share. We believe the secular trends are intact. We want to drive the top line, drive productivity and balance that with investments for the right long-term growth of the business. But as a leadership team, one of our objectives over the long term is we want to expand the margins.
Hikmet Ersek: I think if you look at our strategies back in Australia, they're built on that. The first three parts are driving the top line revenue, finding a new segment and the last one is the improving our process and productivity. I think our business model more than stretches the line to expand our margins, right?
Unidentified Analyst: Is there any increased competition in the EMEASA region just based on the transaction growth and revenue decline in the third quarter?
Hikmet Ersek: I think there is nothing surprising since last quarter, right? So I think competition has been always there, but we are gaining market share. I mean, globally, if you look at our market share, again, we have some challenges in some countries, like countries in the EMEASA region, like Germany, like U.K. Russia are performing well. And the EMEASA region, we have challenges on the Gulf states. And that continued, but it's more economic-related challenges than competition-related challenges, I guess.
Scott Scheirman: Grant, the revenue decline was really just due to currency translation.
Operator: Our next question comes from the line of Andrew Jeffrey of SunTrust.
Andrew Jeffrey - SunTrust Robinson Humphrey Capital Markets: I know one of the big issues around the stock has been concern over competition, and I think you did a great job at the Investor Day addressing your competitive position. There have been a couple of competitive announcements or maybe the flushing out of some competitive positions in the last week or so, and I wondered if I might ask you about them. One would be, PayPal's efforts to market an account-to-cash solution for banks and really speeding up the settlement times, which have been, what, I think, Paypal's competitive disadvantage historically, among others. And I find it curious that they're trying to partner with banks whereas there is also a competitive issue that banks have with PayPal for sure in terms of producing interchange. And I just wondered if you could give an update on your efforts to increase account-to-cash? At U.S. banks, obviously, you had some winds of late, but maybe talk about it in a competitive context. I mean, Chase has offered or introduced a B2B solution similar to Custom House solutions in certain markets, I wonder if you could sort of address your competitive position against both of those products?
Hikmet Ersek: Let me address that. I believe that we are very well positioned for expanding our portfolio in the account-to-cash, cash-to-account money transfer. The reason for that is we can pay out in minutes cash, right, or collect cash and pay out in an account to minutes cash in that 16,000 corridors. Currently, we have 27 banks internationally [indiscernible]. Also globally, we about 27 banks, which allows us to do account-based money transfer. We are growing about 50%. And so what we're are doing is really connecting the accounts with the cash payout with our locations, which gives us an edge, competitive advantage, I guess. The other thing also is that on the B2B money transfer, I think with the Custom House acquisition, we started seeing an opportunity here that we can serve also small business entities globally. Currently, we are have Custom House in seven countries. And given our global brand and global presence, global network, global agent relationship we have, we believe that we could service SMBs globally and the bigger market. That's why we are also changing the Custom House now to Western Union Business solutions and promoting that within the SMBs and expanding with our -- longer-term, expanding that business globally.
Scott Scheirman: This is Scott. The one thing I would add there with Custom House or Business solutions is that our market share there is very, very small. So for us, the game is market share gain. Customers have been underserved by banks, and so we think we can compete well in that space as we move forward.
Operator: Our next question comes from the line of Tien-Tsin Huang of JPMorgan.
Tien-Tsin Huang - JP Morgan Chase & Co: The marketing spend, the 5% spend in the fourth quarter, is that higher than what you budgeted at this time last quarter? And I'm curious if this is just more of a one-off investment around the holidays or if it's more of a permanent kind of spend?
Hikmet Ersek: This as Hikmet. I mean, first of all, as you know, we do marketing depending on seasonality, depending on opportunities, depending on corridor opportunities. Globally, we allocate the marketing. Definitely, we see some opportunities part of [ph] the core business to invest in the marketing in the fourth quarter, which we believe, is the right investment. Also some parts of the investment is also about our new initiatives, right? I think what we do is we are really diversifying our marketing investment against the opportunities, and we do see opportunities in Q4 and into several countries. And traditionally, I believe we've been over 4% [indiscernible], I think.
Scott Scheirman: Yes, I mean, and just macro -- on an annual basis for us, two or three years, we've been around 4% to 6%. It'll vary quarter-by-quarter. As we spoke about earlier, we're a little bit below 4% the first three quarters. We'll be closer to 5%. But we just see an opportunity to make some investments behind the holidays, behind some of the loyalty programs that we think will not only have some benefits in the fourth quarter, but as important or more important, they have more benefits for us in 2011. So we make sure it's the right investment.
Tien-Tsin Huang - JP Morgan Chase & Co: I think, Scott, you went through some of the spread discussion. Can you give us an idea, and maybe you gave this or not, what the normalized spread between revenue and transaction growth would look like domestically now that we're going to, we've lapped the October repositioning? Because I think that could drive some confusion as we see that domestically.
Scott Scheirman: Yes, here is how I think about it, Tien-Tsin. Just to mention, if you will, that there is -- so reminded everybody, there's really two price points we've got to lap in the fourth quarter. The first one is call it October 1 a year ago when we got all the prices uniformity throughout the U.S. And then just a little bit before Thanksgiving, call it November 15, about a year ago, we introduced the $5 for $50 program or promotion, if you will. So we kind of got two sets of pricings to lap, if you will. I think the important thing to think about is that we expect positive revenue growth in the fourth quarter. We do expect the spread betweens transactions and revenue will narrow somewhat in the fourth quarter, but I think the key element is that it'll be positive through revenue growth with a business that carries the 30% plus margin.
Operator: Our next question comes from the line of David Togut of Evercore Partners.
David Togut - Evercore Partners Inc.: First, Hikmet, could you comment on recent trends you've seen in agent productivity and how they might compared to a year ago? These are for new agents.
Hikmet Ersek: Well, generally, if you look on agent productivity constantly, it's both sides, right? Agent do look at their productivity and getting more transaction in their locations and getting more traffic depending on the agents portfolio. And also from our side, from the commissions side, we also look our agent commissions constantly. Having that global presence, having so many agents, more than 1,000 agents, 900,000 agents, we do look at our agent portfolio, and when the contracts are coming and we renegotiating country-by-country, quarter-by-quarter the agent contracts, and depending on that. So I think we are constantly looking at this as a part of our process and productivity initiative, and so I would say that that's a constant work that we're doing.
David Togut - Evercore Partners Inc.: Scott, what are your capital allocations priorities for 2011?
Scott Scheirman: On a long-term basis, if it's really first, to invest [ph] that in the business, David, which runs 2% to 3% of our revenues, so call it $100 million to $150 million. Second priority is acquisitions, mergers and acquisitions, reinvesting back in the business that way. But they will be selective. It's got to be strategically fit very well, have the right cash and cash economic return. And then third, which is very important, is returning cash to shareholders both through dividends and stock buyback. And we continue to move more towards a balanced approach with -- as we talked about at the Investor Day back in December, we increased the dividend payout last December. So we very much view a balance payout as important as we move forward, too. So those would be the priorities for our capital allocation as we think about the next couple of years.
Operator: Our next question comes from the line of Darrin Peller of Barclays Capital.
Darrin Peller - Barclays Capital: First question, and a quick follow-up, how much did you spend of investments overall in Custom House, Prepaid and Payment Services Directive so for this year or at least the ballpark amount? Really how much were margins pressure from those and other reinvestments? And then do you see similar amounts going forward next year? I guess really do you expect meaningful revenue generation also from Payment [indiscernible] PSD and Payments Services Directive in Q4 and next year?
Scott Scheirman: Darrin, this is Scott. Let me kind of give you a full year view of the investment spending. And we talked earlier in the year about roughly about $50 million that we would spend between, call it, Electronic Channels, PSD, Custom House, all those things. It adds up from about $25 million in 2009. So that was generally ratably and will be ratably spent over the year, over 2010. As we move forward into 2011, again a little early to get specific outlook. But as we think about the business, we're going to continue to invest in the business to drive that growth, but also balance that with a business model that we believe we can drive margin expansion. I mean, expanding the margins is important. So we'll balance all those things as we move forward. On PSD, every quarter, it's contributing more revenue. It's not hugely meaningful in 2010, but we are on track for it to be 1% of revenue in 2011. I think what's important there is we have opportunities in Europe to really expanded the retail class of trade, especially in countries such as Germany, where it's really been dominated by banks or post banks. And just what we've done in the U.S. with retail, we can do that in Europe. We think that's an important initiative over the next two to three years.
Darrin Peller - Barclays Capital: And just to follow up on the PSD side, on the Payment Services Directive, is that higher-margin revenue given versus the super agent kind before, given that you're now with more to the retail channel in Europe?
Hikmet Ersek: I mean, what PSD does give us different portfolios, right? We do had some banks and post offices with certain commission rates in the PSD. We do have the license and also certain commission rates. Obviously, we don't disclose commission rates from all the agents. But I think we are constantly looking at our portfolio, where we have the optimal agent relationship and the agent commission rates. But given the -- we are expecting about 1% incremental revenue to PSD next year, so I think it's too small to have a general impact on our numbers currently. But we believe it's a long-term opportunity because it gives the customers longer opening hour, reachable everywhere, so I think we have the right strategy here.
Operator: Our next question comes from the line of Tim Willi of Wells Fargo.
Timothy Willi - Wells Fargo Securities, LLC: My question was just any comments you might have around the trends you saw during the quarter, just having a chance to review everything a bit more detail. And specifically, is there anything you would note around the Gulf region, which I think was the region that was able to maintain its strength the longest before finally sort of softening up towards the end of last year or early this year? And just sort of lapping those comparisons, any thoughts around that?
Hikmet Ersek: Well, let me start, and Scott jump in on that. I think if you look at our business, really, we do see parts of the world improvement and parts of the world still remaining challenging. We do see Gulf states continue to be challenged in that. Obviously the same steady declines as we had in last quarter, but I think we have the right strategy there. We have the right agents there. Once the economy really picks up there, also, the investments picks up there. And different parts of the industry, the construction service, hotel industry, I believe that long term, we have the right strategy. We are in the right place to respond to the challenges also in the Gulf states. You have something?
Scott Scheirman: The other thing I would add, Tim, to trends, if you will. Have you think about it from a macro basis? If you think about the third quarter, this is the fourth consecutive quarter in a row where sequentially both C2C transactions and C2C constant-currency revenue have increased. I think everybody knows that C2C is 85% of our revenues. we have 30% margins in the quarter. So clearly, the sequential improvement continues four quarters in a row, and we're pleased with that during the past four quarters.
Timothy Willi - Wells Fargo Securities, LLC: But in general, if you sort of have to just sort of think about the franchise, you don't have any major countries or corridors even that were seeing declines accelerate. Maybe sort of the worst case is rates have declined began to stabilize for "the softer spot" in the franchise, whereas other parts of the franchise, we've seen that sort of sequential acceleration. Would that be a fair characterization?
Scott Scheirman: I'd probably go back to the portfolio approach that we're in 200 countries, right? And if you just take a picture of the International business, it's 70% of our revenue. Those transactions have grown 7% for the last couple of quarters. Constant-currency revenue has grown 4%. The Gulf was soft in Q3, like it was like in Q2, so no dramatic change up or down there. But there are certain countries, such as Russia or Germany. Recall that Australia and Philippines, those growth rates were a little bit better in Q3 than they were in Q2. But it kind of comes back to the portfolio approach of doing business in 200 countries, and it's helpful. But not every country is going to be perfect. But when you're in 200 countries, it's helpful as you move forward.
Hikmet Ersek: Just to finish on that probably, we are very focused of executing to finish [indiscernible] maybe. We are very focused on executing against our key strategies. I believe we have the right strategies, right initiatives. We are also pleased with the quarter and build on the fundamentals. We are proud to be very focused against our execution strategy. So I thank you for joining the call.
Michael Salop: Thanks, everyone, for joining the call, and have a good afternoon.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a great day.